Operator: Good day and welcome to the Polymetal FY 2021 Results Conference Call. This call is not for media. If you are media representatives, please disconnect now. At this time, I would like to turn the conference over to Vitaly Nesis. Please go ahead, sir.
Vitaly Nesis: Ladies and gentlemen, welcome to the conference call on Polymetal International results for year 2021. For the obvious reasons, we will be concentrating not so much on the historical results, but on the present situation. We are all at Polymetal shocked and appalled by the war going on in Ukraine. The related economic and political developments are likely to require a lot of management efforts to maintain company performance. However, despite a wide range of uncertainties, we will be working under in 2022 and maybe longer. It is our current intention to operate as normally as possible in order to preserve shareholder value, but also to address the needs and concerns of other stakeholders, including our employees and communities where we operate. Today’s call will be structured differently compared with the traditional results calls. I will first brief you on the current situation that Polymetal finds itself in. Then I will go through the – briefly financial highlights for 2021 and current outlook and we will conclude with Q&A. Today, two language lines for questions will be available, both English, which will come first and then Russian. In terms of the current situation, again, I would like to stress an unprecedented – for the team level of uncertainty. However, presently, all of the operations are continuing normally. The operating activities are continuing and the project execution is also ongoing. In terms of the financial and liquidity situation, the Central Bank of Russia has announced on Sunday that it will resume the domestic purchases of gold and silver volume. And we believe we have sufficient channels of sales from our Russian operations to ensure that we are both liquid and solid. In terms of the direct sanctions impact, so far we don’t see any direct sanctions impact. Now, we believe that the sanctioned counterparties that we have dealt with can be discontinued and replaced, if needed, by non-sanctioned entities. In terms of the supply chain, we currently don’t see any threat to operations as we so far haven’t seen any sector-specific trade sanctions. And we also, already for several years, have backup plans to replace the imported consumables by domestic or Chinese consumables in case the sanctions will be expanded and will include the goods that are necessary for the continuation of our activities. Currently, the largest challenge that we expect to face in the coming months is the logistical challenge related to significant disruption of containership service to and from Russia. The management is very busy evaluating different options. I would like to stress that this situation is not expected to have any impact on the current performance given pretty significant stock levels, which we have accumulated during the COVID pandemic, but also because we have backup plans in terms of consumables and critical equipment. Now, let me conclude with the 2022 outlook. Again, the devastating war in Ukraine is likely is certain to require significant management efforts to maintain our performance. Now, we will do our best to serve the interest of all of our stakeholders, while maintaining company values. The group reiterates the current production guidance of 1.7 million ounces of gold equivalent for the current year. Traditionally, production will be weighted towards second half due to seasonality at several operations. We do not expect that the scope of operational activities will change materially in the light of recent developments. We also don’t expect that the current capital project advancement will change materially. I refer to the projects, which are more than 20% completed. Still, the management is in the process of project review. Now, for the projects not completed by more than 20% and the results of this review will be provided within 4 weeks of this call. Also, I am forced to suspend both CapEx and OpEx guidance for 2022. CapEx, mostly because of the potential changes to the new projects and TCC and AAC guidance mostly due to the unpredictable path that the exchange rates and domestic inflation will take in 2022. Now, having reiterated production guidance and suspended cost guidance, I am pleased to say that we maintained our commitment to adhere to the previously announced carbon footprint reduction trajectory, which calls for the reduction by 30% by 2030. And we continue to plan to release our long-term GHG reduction goals by the end of the year. And in terms of the outlook, last but not least, we currently plan to pay a regular annual dividend. And this will come for approval at the AGM at the end of April, to be paid by the end of May. However, citing again the aforementioned uncertainties, the management and the Board reserve the right to exercise judgment and discretion and to postpone or partially postpone or cancel the dividend if the political and sanction situation changes significantly. So much for 2022 outlook, in terms of 2021 highlights just several bullet points. The year was successful in terms of our production and project advancement results. We beat our production guidance. We advanced our projects on schedule despite very significant COVID-related challenges. Total cash costs and all-in sustaining costs were up significantly year-on-year by 15% and 18% respectively. And that was the combination of factors reflecting mostly high inflationary pressures, particularly in the CapEx. And then net earnings declined by approximately 15%, but still stood at about $900 million, mostly reflecting the higher costs that I talked about. CapEx was probably the biggest disappointment, because we have to revise our capital guidance – CapEx guidance for the year couple of times mostly due to the significant and somewhat unforeseen pressures affecting global supply chains as an indirect consequence of the COVID pandemic. We also continued to invest in pre-stripping at the range of our projects, which as we see now will be extremely helpful in terms of weathering potential uncertainties and instability in the operating environment. And net debt increased through the year and we paid $635 million of dividends, a record amount in the company’s history. I would like to stress that the group generated very significant free cash flow in 2021. And although the net debt increased, that mostly represented a significant pace of capital investment in future production, which should maintain the company at our growth path going forward. I would also like to stress that we are ahead of our plan in terms of greenhouse gas emissions intensity reduction. We reduced it by 9% compared to 2019, mostly thanks to energy efficiency initiatives and the implementation of local and grid renewable energy sources. In terms of safety, last but not least, now, we are on the one hand satisfied that we didn’t have any fatalities among company employees in 2021, although we regret to report that one of our contractors lost his life at war operation. We intend to continue to position ESG criteria front and center in terms of priorities and drivers for management compensation in 2022. With this, I conclude my introduction. Please refer to the presentation available on the webcast. And you can ask questions, both relating to my speech and to the presentation. Thanks.
Operator:  We will now take our first question from Krishan Agarwal from Citi. Please go ahead, the line is open.
Krishan Agarwal: Hi, thanks a lot for taking my question. Indeed, some difficult times. Can you please elaborate on your ability to conduct the bullion sales into U.S. dollars, which you’ve also alluded in your release. I mean, I can see that you’re comfortable in terms of your guidance of 1.7 million ounces, but how should the market think about getting that – the gold sold in the market and realizing the pricing? That’s my first question.
Vitaly Nesis: Well, thanks for the question. It’s a good one. Internal Bullion sales in Russia have always been conducted in rubles at the prevailing market gold price and the prevailing foreign exchange rate. The Central Bank announcement on Sunday specifically mentioned that gold will be sold at LME close and at prevailing ForEx rate. So we will receive rubles which we then will apply to pay our domestic bills. Now, in terms of the hard currency that we need, we have substantial external sales, except bullion concentrates, for example. And we also are evaluating restarting direct exports to third countries. So first, we don’t think sanctions against the central bank will anyhow impact their ability to pay us because the transactions will be in rubles. And secondly, we will be able to procure the hard currency required, be it for imports of consumables and equipment or for debt payments or for dividend payments, although the latter so far is suspended by the government decree.
Krishan Agarwal: Okay. In that context, can you help us breaking down as how much of the sales is dollar-denominated as of now? And how much is it in the ruble and also, the proportion of the expenses, operating costs?
Vitaly Nesis: If we take the group, in general, Russia plus Kazakhstan, I would say that approximately, 40% of sales and 25% of expenses other than debt repayment and dividends are denominated in dollars. So we have a pretty sizable kind of currency gap between dollar receipts and dollar outlays, which is sufficient to cover our requirements for capital returns, even if ruble-dollar trade in Russia becomes somehow illiquid, with decoupled from the market.
Krishan Agarwal: Got it. And then so far, you don’t have an indication that the sales to the Central Bank in Russia is going to be disrupted? Or is that kind of the pace is going to come down from the central bank purchases in Russia?
Vitaly Nesis: Well, we don’t sell directly to the Russian Central Bank. We sell to commercial banks in Russia. And I think the other trend we will see very shortly is the pickup in physical demand from individuals locally again, as a way to diversify away from the dollar and buy safe haven assets. Especially, given the fact that generally, the equity market, where a lot of Russian individuals were active, have suffered quite significantly. So we don’t see any imminent risk here.
Maxim Nazimok: Even if we can deal with the central – even if we can deal with the central bank directly because of the sanctions, I repeat Maxim’s point, we can deal with banks and we can also sell bullion through the Russian commodity exchange. It has been quite a comp place for many years. But now, we expect rapid rejuvenation of activity given the range of sanctions against Russian entities.
Krishan Agarwal: Got it. My last question is on POX-2. I remember from memory that you had a few of the equipments pending to come from Europe. How should we think about those equipment availability and then any kind of a time line slippages for the POX-2 commissioning in quarter ‘23?
Vitaly Nesis: Well, definitely, the risks to the schedule for POX-2 have increased significantly. These risks probably come not from the delivery of equipment, because the bulk of equipment and definitely, all of the difficult and complex equipment has already been delivered to site. We are still awaiting a lot of pipes and quite a bit of electrical appliances, etcetera, which are currently not subject to the trade sanctions. However, we can reasonably expect delays, including delays, for example, in getting the commissioning personnel onsite. Now, we believe that all these complications can be addressed in the worst-case scenario by switching some of the materials to the sources outside of the sanctions wheel, so to speak, but the risk the timeline is quite palpable, and we expect to have more transparency about the potential slippage within the next couple of months, as the practice of actually maintaining certain trade sanctions is observed, because, for example, Europe has banned the exports of dual use equipment and materials. But obviously, this emission is not specific enough to understand how it will be implemented in practice. So we need several months to understand the impact of the sanctions on the schedule. However, we remain quite confident that the project will be brought to the finish line, although maybe, later than currently expected.
Krishan Agarwal: Okay, got it. Thanks a lot. That’s it from my side.
Operator: Thank you. We will now take our next question from Alan Spence of Jefferies. Please go ahead, the line is open.
Alan Spence: Hi, guys. Thanks for taking the question. The first one, just sort of the dividend, if you were to try to pay that today, is there any impact from the SWIFT span on some of the banks? Or just kind of – if you could help talk around maybe some of the technicals about how you would pay that dividend or if there’s no impact at this point.
Vitaly Nesis: Well, to start with, Alan, SWIFT is irrelevant for the physical ability to move funds. So switching off SWIFT – switching Russian banks of SWIFT doesn’t make transactions impossible. It just makes them much more expensive in terms of transaction costs. So money still can be moved around. While we are being very cautious about the ability to pay dividends, this is not really about our ability to move money. This is more about the risk of increasing capital controls in Russia and the potential disconnect between the global gold price and the domestic gold price. Or, in general, a further tightening of the sanctions, which would lead to more significant trade bands, or logistical challenges. So this is, in essence, the risks and uncertainties, which underpin our cautious approach to dividends. In terms of liquidity and current ability to move money, this is not an issue.
Alan Spence: Thanks, that’s very helpful. And second one, just on the FX exposure on the CapEx side, how much of 2022 CapEx would be ruble or paying first dollar?
Vitaly Nesis: Honestly, I can’t really answer it, because ruble was RUB75 per dollar a couple of weeks ago. And over the last 3 days, it was anywhere from RUB90 to RUB115 and the domestic inflation trends are totally unpredictable. Before the war started, the budget called for the split of approximately 60% ruble, 40% dollar and euro.
Alan Spence: Okay. Thank you very much, Vitaly. I appreciate them. Plenty of moving parts. That’s it from my side. Thanks, guys.
Operator: Thank you.  We will now take our next question from Boris Sinitsyn from Renaissance Capital. Please go ahead.
Boris Sinitsyn: Hi, gentlemen. Thanks for presentation and the opportunity to ask questions. Basically, a few from my side, please. Firstly, in terms of your reiterated production guidance, just probably to push a bit on this, does it really mean that you are quite confident in achieving these numbers despite the potential disruptions or still subject to – that’s the first one?
Vitaly Nesis: Well, Boris, this is a very good question. If your – if you remember our previous call, we used to have 2023 guidance. And now, we pulled 2023 guidance because we are no longer certain in 2023. But we are confident in 2022. We believe that we have enough kind of fat, it’s not a perfect word, but we have enough of a buffer to take us through this year, even in the quite negative scenario implying further deterioration of the sanctions. For 2023, situation becomes more challenging, mostly because of the potential logistical difficulties. That’s why we kind of – for now, are not reseating 2023 guidance. We believe that we have very good clarity in terms of consumables, equipment availability etcetera for this year. For the next year, we are more cautious.
Boris Sinitsyn: Thank you. That’s very clear. Second question from my side is on management attitude towards buybacks. Has it changed recently? Would you consider buyback in addition to dividends for this year?
Vitaly Nesis: Well, the Board discussed buybacks yesterday actually. And more or less, the opinion was – they don’t make any sense. Right now, both the Board and the management are committed to maintaining the stability of the company and managing the company, the business, not managing the share price.
Boris Sinitsyn: Thank you. And actually, two last questions for me. Firstly, what was your TCC at Nezhda in the second half of last year. And the last question, on Veduga, the fact of sanctioning of the  with deposit, does it change any how your timing in terms of consolidation? Thank you.
Maxim Nazimok: Yes. So, on TCCs on Nezhda, we haven’t formally recorded any sales in the fourth quarter. So therefore, we don’t have TCC numbers. We have so-called TCP numbers, which is total cost of production. But as you might imagine, just right after the startup, these were quite elevated to the level of approximately $1,300 and $1,400 per ounce. But that’s obviously not indicative of the full ramp-up performance that we observed right now. Regarding Veduga transaction, we are not prepared to initiate an accelerated buyout at the moment for clear reasons. We will discuss with VTB, whether they would be prepared to…
Vitaly Nesis: Structure the transaction that would satisfy all of the involved parties’ interest. But realistically, right now, we don’t have the money.
Maxim Nazimok: And we are not pressed to transact from a legal perspective either.
Boris Sinitsyn: Okay. That’s very clear. Thank you so much. That’s it.
Operator: Thank you. We will now take our next question from Jonathan Guy from Berenberg. Please go ahead. The line is open.
Jonathan Guy: Good morning guys. Thanks very much. A couple of things. Firstly, just in terms of the Kazakh elements of the business, can you just say how those are positioned relative to the Russian elements and whether ultimately, you may look at having to split those out into a separate entity? And secondly, can you just discuss the balance sheet, where the debt lies in terms of European, Russian, Japanese and other entities at the moment? And what the strategy will be around sort of putting in new debt from – within Russia or, from within China moving forward?
Vitaly Nesis: In terms of the first part of your question, obviously, this is the line of inquiry, which is very active right now, both from analysts and from institutional investors. Frankly speaking, the management has been so busy fighting fires, figuratively speaking, over the last week that we didn’t have time to give proper – to undertake a proper analysis of this opportunity, although intuitively, it makes sense from the point of view of very different risk profiles the key jurisdictions we operate in currently now have. But given the legal and the financial and the political repercussions of such a potential transaction, we are not really prepared to opine whether such a transaction is feasible, although the management is definitely committed to evaluating the potential benefits and costs of such an approach.
Maxim Nazimok: Yes. And Jonathan, regarding the second question, our loan portfolio, right now, is represented roughly 60% by the largest banks. One of them AZM. And then there are quite a few European banks, the likes of ING,  and UniCredit. We don’t have any meaningful exposure to Japanese banks at the time. One thing we did proactively in January, we actually borrowed for the – from available credit lines to increase cash balances. So, that will cover all of the repayments over the course of the next 12 months. So actually, against 2022 repayments, we have cash readily available. So far, we see that funding is available from both categories, European banks and local banks. The prices, when you have obviously , but we are not pressed, with what I have just said. We are not pressed to borrow any target at the moment for the short-term. So, we will try and wait until this comes down and then reevaluate the funding strategy.
Jonathan Guy: Thank you very much.
Operator: Thank you.
Vitaly Nesis: Right. Shall we move to the webcast questions, which I will probably try and read out. Question number one is from  apologies if I am mispronouncing this. Are you currently experiencing difficulties or impediments in selling and settling gold via the usual channels? I think this question we have already covered. Second question is, what is your perceived risk of ending up in the U.S. sanction list, potentially losing depository bank or similar counterparty essential settlement on the London Stock Exchange and therefore, being delisted?
Maxim Nazimok: Well the – we definitely cannot rule out such an eventuality, but we view this as very unlikely. So far, all of the persons and entities sanctioned have had very specific and the objective linked to the Russian state, Russian government in general, broadly. We are essentially a public company with the largest shareholder holding less than 25%. So, on the list of the potential risks that the group faces, I would read this particular one as a relatively low greater receivable.
Vitaly Nesis: Operator, we can switch to the Russian line now.
Operator: Thank you. We will now move to the Russian line. We will take our first question from Alexey Kirichok. Please go ahead. The line is open.
Alexey Kirichok: In terms of any capital controls…
Vitaly Nesis: Hello. Well, in terms of capital controls, the – currently, in force controls are material for us and only one respect. The Russian entities are currently banned from paying dividends to offshore shareholders. So, Russian operational entities cannot pay dividends to our Cyprus-based holding company. Clearly, if this situation persists, we will be limited in our ability to raise money for dividend payment from Russia, but currently, not from Kazakhstan. How long the situation will persist is unclear.
Maxim Nazimok: However, from the current dividend requires the free cash flow from Kazakhstan is actually covering this.
Alexey Kirichok: Does the company plan to reconcile?
Vitaly Nesis: Well, which company and where? Like, the simple answer is no.
Alexey Kirichok: Hello and thank you for your presentation. 
Maxim Nazimok: Okay. So what are the limitations related to blocking the GDR trade and can this affect your ability to pay dividends and liquidity. So, the short answer is we don’t have GDRs. We actually have primary shares listed in three stock exchanges, London Stock Exchange, Moscow Stock Exchange and Astana International Exchange. Moscow Stock Exchange is currently in operational, with regards to the equity market. The two other exchanges continue trading. So, we are not blocked as an issue. It’s just the trading at MOEX which is low. We don’t see this having an impact on our ability to pay dividends and this, obviously, does not affect our liquidity.
Vitaly Nesis: Well, gentlemen, thank you very much for your attention and for your questions. We stand ready to answer further questions directly addressed to the Investor Relations team or to the top management. Have a good day.
Maxim Nazimok: Thank you. Bye-bye.
Operator: Ladies and gentlemen that will conclude today’s call. You may now disconnect.